Operator: Good morning. My name is Katie, and I will be your conference operator today. At this time, I would like to welcome everyone to the First Quarter Earnings Conference Call. [Operator Instructions] Mr. Nahmad, you may begin your conference. 
Albert Nahmad: Good morning, everybody, from a windy and rainy South Florida. Welcome to our first quarter conference call. My name is Albert Nahmad. I'm the CEO, and with me is Barry Logan, Senior Vice President; and Paul Johnston, Vice President. 
 As we always do, let me read the cautionary statement. This conference call has forward-looking statements as defined by SEC laws and regulations that are made pursuant to the Safe Harbor provisions of these various laws. Ultimate results may differ materially from the forward-looking statements. 
 We've had a great quarter. Our business is solid as it has ever been. But before I get into the details, let me review important highlights. During the quarter, we delivered strong growth in sales, operating profit and earnings per share, not to mention the gains we're doing in market share. We gained market share in U.S. residential and commercial markets, as sales from both product segments were up double digits. Other regions in the Americas consisting of Mexico and our Latin American export operations also achieved substantial growth in the quarter from new products, new locations and great execution by our team. 
 We're excited about our entry into Canada, which we announced this morning. This is a huge market, and we now cover that market from coast-to-coast. This is a great business with a terrific leadership team in place, and we welcome them to the Watsco family. 
 It's interesting to note that our annual sales run rate is now about $3.4 billion. Yet, we have only about 10% share of this total market in the Americas. We feel that there is much to accomplish. 
 We also announced today the completion of a new 5-year $500 million unsecured revolving credit facility. This credit line simplifies our capital structure and adds more flexibility at attractive terms and cost. This is an important asset to the company as we consider additional investments and growth opportunities. In other words, there's not much more -- there's not much out there that we can't accomplish if we set our minds to acquire. 
 Now for the details on the first quarter performance. Revenues increased 19% to a record $634 million and we're up 7% on a same-store basis. Same-store gross profit increased 1%, but gross margins declined due to a number of factors outlined in the press release. Operating income increased 19%, reflecting organic growth and a contribution from new locations. Adjusted earnings per share increased 14% to $0.24 per share, and that adjustment, by the way, was the Canadian cost, the one-time Canadian cost. I'm talking about transactional cost. 
 As for cash flow, there was a positive swing of $54 million during the quarter. We also raised our dividend 9% in the first quarter to $0.62 per share, marking the 11th consecutive year of increases. We have continued confidence in our ability to generate cash flow and expect 2012 to meet our goal of generating cash flow that exceeds net income. Our balance sheet remains in pristine condition, and we are looking for opportunities to expand our network. 
 As for our 2012 outlook, we estimate 2012 earnings per share in the range of $3.25 to $3.40 per share, reflecting organic growth, accretion from Canada and the benefits of increasing our ownership in the first Carrier joint venture by 10% this July. Let's not forget this is our first quarter. It's generally the slowest quarter of the year, and we'll have much greater visibility during the second and third quarter of what the year will do. But all in all, 2012 should be a record year for the company. 
 Before I take questions, a reminder about the importance of what we sell. Our products remain of critical importance to energy conservation in HVAC systems, account for more than 1/2 of the energy consumed in the typical U.S. home. There's now and over the long term a huge opportunity to address the aging installed base, HVAC base, that is largely inefficient. We love being in this business because of this opportunity. We also love the markets we are in. Our market coverage now extends to most of the Americas, which is stable and growing. No competitor is close in terms of having the network, products and organization to take as much advantage of these opportunities as we can. 
 With that said, Barry, Paul and I will be happy to answer your questions. 
Operator: [Operator Instructions] Your first question comes from the line of Matt Duncan from Stephens, Inc. 
Matt Duncan: First question I've got for you is about the mix and equipment between 410A and R-22. Are you guys seeing any change in the marketplace in the mix of the 2 coolants and the equipment that you're selling? 
Albert Nahmad: Go ahead, Paul. 
Paul Johnston: In the first quarter, we really didn't see it. It was under 10% of our sales, was the R-22 product. I think if we see a spike in it, we're probably going to see it in season when people are doing emergency replacements. Not much of a factor. 
Matt Duncan: Okay. Okay. And then in terms of the 7% same-store sales increase, if I remember correctly at the time you guys did your 4Q '11 call, it sounded like the first quarter was off to a bit of a slow start. So did you see some momentum build as the quarter progressed? 
Albert Nahmad: Paul? 
Paul Johnston: Yes, we definitely did. The quarter started out slow and finished up in a nice flurry, especially in the month of March. 
Matt Duncan: And Paul, do you think is there anything in there maybe weather-related given that we had a warmer winter in March? I know across parts of the Sunbelt was unseasonably warm. Did that have any impact or is this really indicative of maybe a little bit of a balance in the end market here? 
Paul Johnston: I think it's a little bit more of a balance on the end market. I think the weather obviously helped us a little bit but not to the extent that I would have expected. One thing that we're trying to ferret out in the numbers right now is looking at what the relationship is between compressor sales and what the equipment sales were. And certainly in the first quarter, we saw a good rebound that we talk about in the press release on the equipment side. But we didn't see that same sort of uptick on the compressor side. 
Matt Duncan: Okay. And then did the March strength, has that carried into April? Are you seeing a strong start to the selling season? 
Albert Nahmad: That's the way April started. And then there was a slowness, and then it's coming back. So a little bit of a mixed picture. But I think it will be a very strong season. 
Matt Duncan: All right. Great. Last thing I've got for you is, in the guidance, Al, you did make note that, that includes Carrier Canada and buying an additional 10% of the first Carrier joint venture. Can you give us some idea how much you expect in earnings from both Carrier Canada and the extra 10%? 
Albert Nahmad: Barry, are we disclosing that? 
Barry S. Logan: Well, the algebra you can do on the option is somewhat self-evident, Matt. It's about a $51 million purchase price with our new debt agreement. The borrowing cost will be something under 2%. Though you can do some math with that equation, you have to make your own assumptions on the EBIT margin and EBIT target of the joint ventures. That's not something we disclose. But you can take a shot at that, I would imagine. And same thing with Canada, we've not publicly disclosed the EBIT of Canada. But I think you can garner some good estimates off of what had been publicly. . . 
Albert Nahmad: Can you give them the 2012 accretion for Canada, Barry, in earnings per share? 
Barry S. Logan: For the start period, which is just for 2012, 8 months that are left, it's around $0.13 to $0.15. 
Operator: Your next question comes from the line of Ryan Merkel from William Blair. 
Ryan Merkel: So the first question I've got, usually you give guidance in July, so just wondering why we're getting guidance here before the selling season begins. 
Albert Nahmad: Well, Ryan, it's just that we thought you wanted a little bit of help. But you're absolutely right. This is our slowest quarter, and we want to be careful of what we're saying. So we put out that we think at the moment, and we could adjust that and will adjust whatever we see during the second and third quarter. 
Ryan Merkel: Okay. Fair enough. And second question, just want to talk about the timing of the inventory purchases. Why didn't we buy the inventory in 1Q? Is anything going on there? 
Albert Nahmad: Paul? 
Paul Johnston: No, there really wasn't anything going on there. It was really our manufacturers and vendors who we do business with, they're becoming better and better at supplying us with the inventory that we need when we need it. So rather than to pre-buy... 
Albert Nahmad: The lead times are down, yes. 
Paul Johnston: Lead times are way down. We're buying it on an as-needed basis. So just a timing thing. It's not indicative of anything else. 
Ryan Merkel: Okay. And then do you have an estimate of how much that impacted EPS in the quarter? Is that something you can do? 
Albert Nahmad: Well, that's not something we're going to break out for you. Sorry, Ryan. 
Barry S. Logan: Maybe I'll add something to that. I mean, go back a year ago, the channel was filling up with R-22 systems in what had been a huge fourth quarter in 2010. So I think a lot of it is simply timing, turning over year-over-year basis. You'll see in the cash flow statement a big difference in inventory purchases quarter-over-quarter, and that plays itself out as we get into the second quarter in terms of ramping up for the season. 
Albert Nahmad: Well, on the other hand, Ryan, maybe, Barry, do you have an estimate to his question? 
Barry S. Logan: I would rather put it in terms of gross profit impact. It was about 50 basis points for the quarter. 
Ryan Merkel: Okay, yes. So we can assume that as the year goes on, the rebate accruals will kick in and maybe gross margins will be a bit higher as the year goes on to account for this. 
Albert Nahmad: We think so, especially as we get into season and the mix will change a little bit -- more higher efficiency versus the incoming value, the lower efficiency. 
Ryan Merkel: And then last question for me, core SG&A, flat this quarter. It was 7%. Same-store sales is pretty impressive. Can we do something similar to that as the year goes on or any kind of estimate for what core SG&A can do for the year? 
Albert Nahmad: Barry, do you have that? 
Barry S. Logan: Well, it's been about I think 10 quarters with that type of a dynamic in terms of keeping SG&A in line. The fixed costs are still coming down, so for the year, we expect to continue that type of progress. I don't see a reason why that should change at this point. 
Operator: Your next question comes from the line of Steve Tusa. 
C. Stephen Tusa: From JPMorgan. The new construction business, how strong do you estimate that was in the quarter? Lennox said theirs was like up 40%. 
Albert Nahmad: Well, you have to remember that the installation of HVAC systems, there's a delay between -- the new construction beginning. It's late in the process. So if there is a pickup in new construction, our industry won't see it for a while. This is one of the last things put into a new home. 
C. Stephen Tusa: Because Lennox said theirs was up 40%. So maybe it's just less as a percentage for you guys? 
Albert Nahmad: Well, it depends on what their 40% is from. Who knows? I don't know the answer to that. If it's a small base, who knows? 
C. Stephen Tusa: Okay. So maybe you're not seeing anything that would -- you didn't see anything in the quarter? 
Albert Nahmad: We consider our opportunity, and that's where our revenues come from, is in the aftermarket. I mean, we're talking about close to 100 million homes that are now installed with a very aged basis of HVAC systems. And sooner or later, those systems have to be replaced, and we think they'll be replaced with higher-efficiency equipment because of the energy conservation of it. And I think that's a very positive thing. Our focus is that market. And if the new construction kicks in, that's just a plus. 
C. Stephen Tusa: Right. How was your commercial business in the quarter? 
Albert Nahmad: It was up double digits. 
C. Stephen Tusa: Okay. And then how do you determine whether you're taking share or not? Do you use the HARDI statistics? Is it kind of a... 
Albert Nahmad: It's a very good question. Paul, go ahead. By the way, we're up on share gains at all the equipment lines we represent. We monitor that very carefully. 
Paul Johnston: Yes, what we look at, we don't look at HARDI statistics, no. We look strictly at AHRI shipment data, which there may be some timing issues with compared to our movement data, but over time, it smooths. And when you at the trailing 12 months shipment data versus where we are, we certainly indicate that we are gaining share. 
Albert Nahmad: The OEMs themselves keep track of shares. We compare our notes with them. 
C. Stephen Tusa: Okay. And then just one last question on the -- you mentioned, I think your compressor sales will be part of that parts and supplies, obviously. Were compressor sales down in the quarter? Just standalone compressor sales? 
Barry S. Logan: Standalone compressor sales were down slightly. Very low single-digit, but compared to equipment sales movement, it was kind of a little bit of a surprise to me. 
C. Stephen Tusa: Right. So you said there was a little bit of a change in behavior there? 
Albert Nahmad: But that's a positive change. 
Barry S. Logan: I'm hoping that it's changed. It's an early indicator to me that something good is happening out there. 
Albert Nahmad: Yes, exactly, yes. Right. But we could be transforming from a repair environment to a replacement. That's our hope. 
C. Stephen Tusa: Right. And you do sell those -- sorry, one last question. It's on the parts and supplies side. The price increase of R-22, how is that kind of playing out in the channel and how did that kind of play into your financials here in the quarter? 
Barry S. Logan: It was very positive for us, obviously, as we started selling through old refrigerant. Not really material in the bottom line of the entire company as far as what our sales of refrigerant are compared to the total. It was fun to start with, and then after the excitement of it, we saw the prices starting to slow down again. 
C. Stephen Tusa: And that would've been reflected in your -- that's not reflected in your equipment sales, right? That would be part of that 1%? 
Albert Nahmad: That's correct. And the refrigeration business as well. 
Operator: Our next question comes from the line of Jeff Hammond from KeyBanc Capital Markets. 
Jeffrey Hammond: Hey, just on the revolver. Is the 500 replacing the 300-plus the 125 or. . . 
Albert Nahmad: Good question, Jeff. Good question. Yes, it is. The 300 was supposed to expire in August of this year, and we have now replaced it earlier than necessary. 
Jeffrey Hammond: Are you keeping the 125 Carrier Enterprise's revolver as well? 
Albert Nahmad: No. No. That was a more expensive line. We've now consolidated all the lines into a less expensive and much, much more flexible line of credit. 
Jeffrey Hammond: Okay, great. And in that light, -- could you just -- when you -- you've clearly taken advantage of a number of these Carrier JVs, but those seem to be pretty much wrapped up. Can you just talk about acquisition pipeline, what you're seeing out there? And as you kind of move some of these -- past some of these Carrier buys, what do you see occurring next? 
Albert Nahmad: Well, we're still looking for large transactions, and we obviously like joint ventures with OEMs. There are more possibilities in that area, and we like the expansion in the Americas. Latin America, as you know, Jeff, is not suffering what Europe is suffering or Asia is suffering. They're solid, and there's a lot more to do there. We may or may not have opportunities to acquire distributors there, but that's certainly on our radar screen. And then there's some large independents in the United States and perhaps Canada that we'd love to be able to bring them into the family. There's no shortage. We certainly have a 10% share. We certainly have a lot of opportunity in front of us. 
Jeffrey Hammond: Okay. And then just on Carrier Canada. It looks like based on what you paid that maybe the margins there are a little bit higher than... 
Albert Nahmad: Yes, they are. That's a good observation. Yes. 
Jeffrey Hammond: So can you maybe just talk why structurally you think the margins are higher? And then also, where do you see the biggest opportunities to really add value to that business as you bring it into the fold? 
Albert Nahmad: Well, I don't think that this joint venture will be any different than the other joint ventures we already have with Carrier. Even though we're starting with a higher margin because that's the position they have in Canada, we will do what we've always done with Carrier joint ventures. We'll add additional product offerings. We'll add additional distribution points. We'll have our own way of incentivizing leadership there and motivating them. We're a big believer in equity as an incentive. And I don't see any difference other than we're starting from a higher EBIT margin with Canada than we did with the others. But there's nothing wrong with that. I think it's positive. 
Jeffrey Hammond: And why do you think they have higher margins at this point? 
Albert Nahmad: I don't know why they've done it. But it is what it is. They've done a great job up there, and we just want to continue it. 
Barry S. Logan: It's a very, very high-efficiency market, yes. 
Operator: Your next question comes from the line of a participant whose information was not gathered. 
Joshua Pokrzywinski: It's Josh Pokrzywinski. Sorry, I got cut off by the beep there. 
Albert Nahmad: Want to mention your company? 
Joshua Pokrzywinski: MKM Partners. Want to dig in a little bit again on Carrier Canada, first on seasonality. Just wondering if we're kind of above or below average versus base Watsco and what we're really missing by leading that first 4 months of the year off in that $0.13 to $0.15. Is it more or less profitable kind of in the first quarter? 
Albert Nahmad: Well, that's a good question. And it follows the same seasonality that our existing business follows. So their first quarter is not their strongest quarter, just like the rest of Watsco is not. 
Joshua Pokrzywinski: Okay. And I guess, just kind of running through the math here and maybe applying a similar multiple as what you've had for some of the other Carrier properties and taking into account the share component, it seems like the $0.13 to $0.15 is a little bit light of what I would've thought. Are you assuming a tougher market in Canada or any kind of integration expenses within that? Or is it just simply early in the year and you want to be kind of gentle how you fill that in? 
Albert Nahmad: Well, yes. This is no different than anything else we've done with Carrier. This is a very well-managed company, as you've seen, remarked. As we've explained, our margins seem to a little bit higher in Canada, I think speaks to their performance. And we will have a better, as you said, as the season gets into, we'll have a better picture. We've just given you what we think is our best shot at it today. Barry, do you want to add anything to that? 
Barry S. Logan: Josh, I would say this that we are applying some costs for amortization of intangibles in the numbers, which is not an historical but it's in the go-forward numbers. That would be the only difference in maybe looking at it the way that you're looking at it. But I think Al said it well. We're going to be conservative as we start the year and give you an update as we get through the year. 
Joshua Pokrzywinski: Okay. And maybe just back on guidance and the decision to offer it up here a quarter earlier than usual. I understand you have better visibility, obviously, with the acquisition coming in and being able to pencil an accretion there. But I guess with April kind of having a bit of a sine wave to it and maybe ultimately the direction into the more important months of the quarter still a bit of a question mark, is there anything on the cost side that gives you better-than-average visibility heading into the season that is driving that decision to be a quarter early? I guess specifically Northeast, Canada. 
Albert Nahmad: Well, no, it's really because we saw that there were 3 different components to the year's performance. It's the normal organic performance. Then there's the performance that is going to come from Canada. And then there's the performance, improved performance, that's going to come from increasing our equity stake in the first joint venture. Those are 3 different things. And we thought, rather than have you guys sort of worry a lot about what each one does, we would do it for you. And that's all occurring now. Carrier just occurred. And we thought we'd give you a little bit of a window to help you guys figure out your models. We hope we've been helpful by doing that. It's just because there are really 3 things going on -- the organic, Canada and the additional 10% equity in the first joint venture. 
Operator: Your next question comes from the line of Ian Zaffino from Oppenheimer & Co. 
Ian Zaffino: Can you tell me what the monthly comps were? Or if you can break that out and maybe what they look like in April? 
Barry S. Logan: We don't do that. 
Albert Nahmad: We don't provide monthly comps. 
Ian Zaffino: Okay. But I mean, you simply give a little bit more direction than just saying it's gotten better throughout the quarter. I'm just wondering if you've got any detail you could... 
Albert Nahmad: But the quarter just started. We're still in the first month of the first quarter -- of the second quarter. 
Ian Zaffino: Yes, I'm sorry. 
Albert Nahmad: I'm sorry. You want to repeat that, Ian? 
Ian Zaffino: I'm sorry. I meant the year, not the quarter. So you just mentioned the year started off a little slow and then it kind of picked up a little bit. I mean, so is April better than March? Can you give us that? 
Albert Nahmad: Oh, sure. Yes. April started off very strong then it kind of slowed a little bit. Now I think it's coming back. 
Operator: Your next question comes from the line of David Manthey from Robert W. Baird. 
David Manthey: It's a question primarily for Paul. I'm just wondering if there's any implications from the rising price of R-22? And with the inventory situation this year, I'm just -- as you're thinking about the transition to the R410, will that happen at some point before 2015? It doesn't seem like this is the year but could it happen in 2013 or is it just going to be a mad dash to 2015? 
Paul Johnston: I wish I knew the answer to that completely. I think it's obviously going to be in place throughout 2012. I think most of 2013, I think in the second half of 2013. Hopefully, and this is just my wild guess, hopefully, we'll start seeing it abate and transition completely over to 410. 
David Manthey: Is that -- do you think that the manufacturers will get aligned and sort of figure that out? Or -- it seems like if one of the manufacturers is willing to defect and still be pumping R-22 out there, even though it's not what's best for consumers theoretically, that, that might be the go-to solution? Do you see that as the case or do you think that the industry will reach consensus as we move toward that point? 
Barry S. Logan: I don't know about the OEMs and what their thinking is. I think as an industry, I think consensus will start to generate as there becomes more of a shortage of R-22 availability, of the material R-22. 
David Manthey: Right. Okay. All right. And then second, I'm surprised to hear about the seasonality of Carrier Canada. Could you tell us what percentage of Watsco revenues in the first quarter of 2012 were furnaces and how that compared year-over-year? And then if you look pro forma for Carrier Canada, could you talk about sort of in-season versus out of season? What percentage of their revenues are furnaces? I would've thought it would be a higher percentage. 
Albert Nahmad: What do you think, Paul? You want to take that one? 
Paul Johnston: I think between Barry and I, we should have an answer to that. Furnaces, first of all, are very small portion of Watsco's first quarter, second quarter and third quarter sales, even fourth quarter. They represent a very small percent of our total business, even including Carrier Northeast. So it's a good business for us but not a large one. When you move up into Canada, Canada is a very high-efficiency marketplace. You're going to sell products that are going to be 90% to 95% plus gas furnaces up there. So it's a very nice market. However, when we look at Canada, we also have some other product lines. We're in the commercial refrigeration market. The commercial applied business is there, as well as a fairly robust duct-free split market that's available up in Canada. So Canada is a more diverse market, perhaps, than our U.S. model. 
Barry S. Logan: To put it in numbers, Jeff, I mean, the furnace business for Watsco is not more than 5% without Canada, and it's still less than 10% with Canada. So heating seasonality can change a little bit, but it's not something that's going to change very much. 
Operator: Your next question comes from the line of Keith Hughes from SunTrust. 
Keith Hughes: A question for Paul. You had mentioned equipment sales being better than compressor sales. I assume that's a growth rate in the quarter. Is this the first quarter that you've seen that in the recent periods? 
Paul Johnston: Yes. 
Keith Hughes: And if you had to go back in time, when do you think the last time you would have saw that phenomena? 
Paul Johnston: I wish I had the answer to that, Keith. I do not know. I can go back and look it up. 
Keith Hughes: Fair to say it's a long time, is it? 
Paul Johnston: Yes, and I'm sure happy to see it. 
Keith Hughes: Okay. So as we look forward, if that continues with the delta or the different growth rate between equipment and your other accessories, would they not be closer together? 
Paul Johnston: It should, yes. But as we start replacing equipment, at some point, we're going to start seeing more replacement of thermostats and grills and registers, and all those sort of things. I mean, about what's with some of this old equipment being dropped off. 
Keith Hughes: Does it necessarily -- if you have stronger equipment sales, does it necessarily drive more other HVAC or do you just need more new construction or bigger ticket jobs coming in? 
Paul Johnston: I don't know. That I do not know, Keith. 
Keith Hughes: Okay. And I guess the comments on your refrigeration sales, which were very good in the quarter, was there anything here that was up on a tough comp? Is there anything here unusual one-time or if it allows, could the growth rate be at this for the rest of the year? 
Paul Johnston: There's no one-timers in our commercial refrigeration business. It is just keeping on expanding the product lines, expanding the territory, new branches, very solid growth in all -- just about every one of the market segments. 
Operator: [Operator Instructions] Your next question comes from the line of Robert Barry from UBS. 
Robert Barry: Is it fair to assume that within parts and supplies, the original Carrier joint venture actually saw growth? 
Barry S. Logan: I think we're not going to break out separate companies' performance as it pertains to the parts and supplies business. 
Robert Barry: Okay. I mean, even directionally? Because I know that aside from the end market, there was a lot of specific effort going into trying to grow the supplies business at legacy Carrier. So if it's still down even with that kind of company-specific effort, that, that would be kind of interesting, which is the genesis to my question. 
Albert Nahmad: I don't think you ought to read too much into these first 3 months in any of these product categories. I think we're going down, we're going to -- you might form some conclusions that aren't going to bear themselves out. I think it was a fair question. If some people are experiencing new construction work, how come your parts and supplies aren't going along with it? And our best answer to that is, we're certainly not losing share either in the aftermarket or in the new construction. If anything, we're gaining across the board. But there is a time delay between the start and the installation of HVAC. But we don't count on new construction. I mean, if it comes, it's sort of a plus. And if it doesn't come, it's okay. We've got a huge market, and we've still got enormous opportunity to develop share gains across the industry. 
Robert Barry: Does that segment really have to come back, though, in order for you to get to your target of, I think it was 10%? 
Albert Nahmad: I don't think we will -- oh, the 10%. Well, you would hope that all the horses are pulling the wagon, and I think it will. I don't think there's anything wrong with our parts and supplies business. I think we're reading too much in the first 3 months. 
Robert Barry: Yes. On the M&A pipeline, just a follow-up. Have you detected any change in tone in the conversations that you're having? 
Albert Nahmad: Is my begging for doing these transactions having a better effect? 
Robert Barry: Is it falling off [indiscernible]? 
Albert Nahmad: Look, these things take time. To get these things going with Carrier, it took me 10 years now. I hope that they won't take that long to do some of these other things that we're pursuing. I would say that the more we establish a record of gaining share for our OEMs, the more receptive others, the OEMs become to us. As you would expect, if you're performing, and we are performing for all our equipment brands, that we get a reputation for that. And I think yes, to your point, people become more receptive. Does that mean that we have a transaction that we feel warm? No. I think we're still in the pursuit of business. 
Robert Barry: And on that 12% growth in the equipment, could you just break out kind of volume mix price for that, please? 
Albert Nahmad: Sure. Barry or Paul, do you want to take that? 
Paul Johnston: Yes... 
Barry S. Logan: The unit -- go ahead, Paul. 
Paul Johnston: Yes. Our first quarter, we had a -- saw an increase in 13 SEER product, and obviously, that meant we saw a reduction in our high-efficiency product. And it's reflected in the price trends, and the price trends that we would see on something like that would be in the -- probably worth about $30 to $40 per unit. 
Robert Barry: So it was really all volume? 
Paul Johnston: It's -- yes, Right. 
Albert Nahmad: Well, Barry, you have specifics on that, don't you? On the unit performance. 
Barry S. Logan: Yes, I mean -- we don't really -- it's very simple. Units are up about 14% and price is down 2% because of the change in efficiency mix. 
Robert Barry: Okay. And then just finally, more of a housekeeping item. When we're calculating that accretion from this Canada deal, I think going forward, we should use a new share count. Is that right? At a... 
Albert Nahmad: Yes. But don't forget to use -- in our share count, it's average. It's an average. So you wouldn't throw in 1,250,000 which is what we've just issued. Barry, you to tell them how that works? 
Barry S. Logan: It's obviously the share count for the year, plus the 1,250,000 for the 8 months that we'll own and match up with the earnings that we're getting. 
Albert Nahmad: But each quarter, Barry, they take the average. You want to explain that? Not for the whole year but quarterly. 
Barry S. Logan: Sure. It's an average share count per day for a quarter. So we'll have 2 months worth of those shares embedded in this quarter's earnings and then in the 90 days for the rest of the year in each quarter. 
Operator: We have a follow-up question from the line of Steve Tusa from JPMorgan. 
C. Stephen Tusa: So embedded in the annual guidance must be some sort of a sales increase. I don't know whether you have a view on what you think the industry is going to do or what you guys can do on a same-store basis. If you could just give us a little color on that front? 
Albert Nahmad: Barry, you want to take -- deal with that? 
Barry S. Logan: Steve, we really haven't given any kind of specific guidance. It's more of an earnings guidance. If you -- we're still looking at, I think if you press me on it, it's still a single-digit consequence this year on sales. We like the start. We love the strength in equipment. So we hope we're wrong, but we're still going to be conservative about thinking in single digits now. Obviously, we're managing the SG&A in that light and let it play itself out as we get into the season and update you next quarter. 
C. Stephen Tusa: Right. But definitely up at this stage? 
Barry S. Logan: Yes. 
C. Stephen Tusa: Okay. And then just one more question, just on R-22 mix. Everybody's kind of said it's in the 10% range. That's just a function of what you sell in the first quarter, right? I mean, if you look at like March, which is may be more representative of kind of entering into the season, March is probably a lot higher than that. Am I looking at that the right way? 
Albert Nahmad: Paul, do you have a feel for that? 
Paul Johnston: No, I really don't... 
C. Stephen Tusa: You know what I mean, because January, February might be less cool. I don't know. I mean, because 10% is relative to the 20% that it was last year. And I just wanted to make sure that, that's the reason why. 
Paul Johnston: Well, we saw the same -- we saw the same thing, remember, in the fourth quarter, where we had a low percentage of R-22 in the fourth quarter. And we saw the same event happening in the first quarter, which I guess, we expected. 
C. Stephen Tusa: Okay. So you think it's going to be around 10% for the year? 
Paul Johnston: No, I don't. I think it's going to be much higher than that as we get into season. 
C. Stephen Tusa: Right. Right. Right. Okay. So again, it's about the behavior in the first quarter. It's about what people are doing, and then you get into the regular season, and that ticks up to what it did last year? 
Paul Johnston: Yes, between a planned replacements and an emergency. 
Albert Nahmad: Paul, you want to -- or Barry, why don't you -- I mean, there seems to be a lot of interest in this R-22. Do you want to talk about the changes that are coming by government and industry mandate within the next early years and the impact that's going to have in deficiencies, like the regional mandates? 
Paul Johnston: Yes, the R-22. I think we've mentioned this earlier. The R-22 goes away by its own accord, hopefully sooner than later. But as we move towards 2015, not only will we see the R-22 product being eliminated from our menu but also we'll start seeing the 15 SEER product throughout the Sunbelt, which is something that we get excited about. 
Albert Nahmad: But explain why that is. 
Barry S. Logan: Well it's the... 
Albert Nahmad: The regional mandate. 
Paul Johnston: The regional mandate that the Department of Energy has come up with, which mandates that we're going to have different efficiencies for gas furnaces in the North and different efficiencies for split systems and air-conditioning in the South. And then California, of course will be a whole other story. But that's all good news I think, long term for us during the next 2 to 3 years. 
C. Stephen Tusa: What's the difference in price on those? 
Paul Johnston: Steve, I wish I had a number that I could just pull out of my head and give you on that. I think what's going to happen as time goes on is I think there's going be -- as buying is being pressed against the higher efficiency product, I think it's going to become more affordable for consumers and more palatable. And so as we enter 2015 and we've got the advent of the higher efficiency product, I think you're going to see that the pricing will be right for both the distributor and the consumer. 
C. Stephen Tusa: Right. And my guess is the demand destruction going from R-22 to R410a, which is you to have to buy a lot more equipment and kind of fit it into installations, which can be expensive, is different when you're going from a 13 SEER R410a to a 15 SEER R410a. So the actual cost to the consumer -- cost increase to consumer isn't as dramatic as it would be R-22 versus R410a? 
Paul Johnston: Correct. Because you're not going to have the replacement coil that's going to be put in, and generally a number of other components go into a 410a replacement of an R-22 system which I think I’ve talked about in the past. 
Operator: [Operator Instructions] We have no further questions in queue. I'll turn the call back over to the presenters. 
Albert Nahmad: Thanks for participating. We look forward to coming on again at the end of the second quarter. Have a great day. Bye. 
Operator: This concludes today's conference call. You may now disconnect.